Operator: Good morning. My name is Chloe and I will be your conference operator today. At this time, I would like to welcome everyone to the Knight-Swift Transportation Third Quarter 2024 Earnings Call. All lines have been placed on mute to prevent any background noise. [Operator Instructions] Speakers from today's call will be Adam Miller, Chief Executive Officer; Andrew Hess, Chief Financial Officer; and Brad Stewart, Treasurer and Senior VP of Investor Relations. Mr. Stewart, the meeting is now yours.
Brad Stewart: Thank you. Good afternoon everyone and thank you for joining our third quarter 2024 earnings call. Today, we plan to discuss topics related to the results of the quarter, current market conditions, and our earnings guidance. We have slides to accompany this call, which are posted on our Investor website. Our call is scheduled to last one hour. Following our commentary, we will answer questions related to these topics. In order to get to as many participants as possible, we limit the questions to one per participant. If you have a second question, please feel free to get back in the queue. We will answer many questions as time allows. If we are not able to get to your question due to time restrictions, you may call 602-606-6349. To begin, I will first refer you to the disclosures on Slide 2 of the presentation and note the following. This conference call and presentation may contain forward-looking statements made by the company that involve risks, assumptions, and uncertainties that are difficult to predict. Investors are directed to the information contained in Item 1A, Risk Factors or Part 1 of the company's Annual Report on Form 10-K filed with the United States SEC for a discussion of the risks that may affect the company's future operating results. Actual results may differ. Now, I will turn to our overview on Slide 3. The charts on Slide 3 compare our consolidated third quarter revenue and earnings results on a year-over-year basis. Revenue, excluding fuel surcharge, decreased 5.3% and our adjusted operating income declined by 7.1% year-over-year as we lapped the acquisition of U.S. Xpress at the beginning of the quarter. GAAP earnings per diluted share for the third quarter of 2024 was $0.19 and our adjusted EPS was $0.34. Our consolidated adjusted operating ratio was 93.9%, which was flat with the prior year, while representing a modest sequential improvement over the second quarter. This was the first sequential improvement in third quarter consolidated adjusted operating ratio since 2021. Our results were negatively impacted on a year-over-year basis by a $6.6 million increase in net interest expense and a 34.1 percentage point increase in the effective tax rate on our GAAP results and a 6.1 percentage point increase in the effective tax rate on a non-GAAP basis year-over-year. Impairment charges and an investment write-off totaling $13.1 million are also excluded from our non-GAAP results. Now, on to the next slide. Slide 4 illustrates the revenue and adjusted operating income for each of our segments. In general, our truckload logistics, and intermodal segments continue to navigate a challenging full truckload market. But as we noted last quarter, we believe the worst of this truckload cycle may be behind us. This view has been further supported by several sequential trends in the third quarter. Revenue, excluding fuel surcharge, adjusted operating income, and adjusted operating ratio were at least stable and in most cases, improving over the second quarter results for each of these three segments. The ongoing attrition of excess truckload capacity added during the up cycle still has further to go. Freight rates have largely stabilized and are showing modest improvement but remain at unsustainable levels. The LTL segment continues to experience a much more supportive market than truckload, where our business continues to achieve steady rate improvement as we extend the reach of our network and capture new volumes. At the same time, start-up costs and early-stage operations at so many new facilities that have yet to go through a nickel are a drag on margins in the near-term. The market in the third quarter largely played out as expected prior to Hurricane Helene and the impending port strike, curtailing volumes across our asset-based businesses in the last week of the quarter. The arrival of Hurricane Milton in the early days of October extended the market disruption into October, particularly for our U.S. Xpress and AAA Cooper brands based in the Southeast. Aside from these events, the truckload market is giving signs of being balanced and scale, service, and freight security are becoming more of a differentiator. These are signs that align with the unique value that we are positioned to create for our customers when the market strengthens. For now, we remain focused on disciplined pricing, cost control, and operational excellence. As we see opportunities across our enterprise, we leverage our unique suite of wins [ph], intentionally driving collaboration to create distinctive solutions for customers. This allows us to offer solutions across different services and to retain more volumes than any single brand could execute. As the market improves and shippers have acute needs, we expect this to become a more valuable advantage. Now, I will turn it over to Adam to discuss our truckload on Slide 5.
Adam Miller: Thanks Brad and good afternoon everyone. Although we remain cautious in an environment that remains challenging, where further attrition of excess capacity is still needed, we continue to observe positive signs, including a continuation of seasonal patterns with some project activity underway in the fourth quarter, achieving rate increases in more recent truckload bid awards, sequentially improving our average truckload revenue per mile over the second quarter and seeing customers reducing their usage of brokers in efforts to improve cargo security as well as the ongoing stability of their supply chain. Our average spot rate remains higher than our average contract rate as we believe we are seeing opportunities to address acute needs for our customers that may not be reflective of the broader market. This is where our scale and unique suite of diversified brands offer distinct value to our customers. On a year-over-year basis, our truckload revenue, excluding fuel surcharge for the third quarter decreased 6.1%, reflecting a similar decrease in loaded miles as we lap the acquisition of U.S. Xpress at the beginning of the quarter. Revenue per loaded mile, excluding fuel surcharge, was essentially flat year-over-year. Miles per tractor were also flat year-over-year as improvements in the legacy trucking business were offset by a decline at U.S. Xpress, reflecting a churn in the freight portfolio as well as we redefine the freight network over the past year for U.S. Xpress. Similarly, revenue excluding fuel surcharge per tractor declined slightly by 0.6% year-over-year as improvements in the legacy business were offset by a decline in U.S. Xpress. On a sequential basis, revenue per loaded mile, excluding fuel surcharge, increased slightly over the second quarter. Miles and truck count were stable, producing a modest improvement in revenue, excluding fuel surcharge. Our spot exposure remained relatively consistent with the second quarter. The adjusted operating ratio for the legacy trucking businesses sequentially improved by 250 basis points, driven by improvements in cost per mile and revenue per tractor U.S. Xpress adjusted operating ratio was fairly flat sequentially as modest declines in its total miles and utilization were offset by improvement in revenue per mile. Now, on to Slide 6, where we cover the LTL. Margins in the LTL industry remain much more supportive than in truckload, though the pace of year-over-year rate increases appears to be slowing a bit as comparisons get increasingly more difficult while industrial production is stuck in neutral. We are still experiencing solid demand and steady rate increases in our business, partly aided by our expanding network that allows us to offer our services on more lanes to new and existing customers. Our LTL business grew revenue, excluding fuel surcharge, 16.7% year-over-year as shipments per day increased 11.1%. Our acquisition of DHE, the LTL division of Dependable Highway Express, on July 30th, contributed approximately 7.5% to each of those improvements. Revenue per hundredweight, excluding fuel surcharge, increased 9.2% year-over-year. The year-over-year trend of declining weight per shipment slowed to 3.9% in the third quarter. The adjusted operating ratio was 89.6% and adjusted operating income declined 19.5% year-over-year due to start-up costs and early-stage operations at our recently opened facilities. Now, on to Slide 7, where we summarize the recent progress on our LTL expansion strategy. During the quarter, we opened 16 additional service centers following 18 openings in the first half of the year. We expect to open four more service centers by the end of 2024. Also, our acquisition of DHE represents approximately 10% growth in both service centers and door count and adds the key Southwest markets of California, Arizona, and Nevada to our network. Overall, our organic and inorganic expansion activities in 2020 should add nearly 1,500 doors this year, representing a 32.2% increase in our door count from the beginning of the year. We have been hard at work integrating the systems and business of DHE into our network and expect to complete the integration during November. Customer responses to this acquisition and adding the Southwest to our service on have been very strong. We expect meaningful opportunities for growth following the integration and are excited about the value this adds to our existing business as well. Over the past year, we have chosen to invest capitalizing on opportunities to significantly expand our LTL capabilities and service territory. The associated start-up costs and operational inefficiencies are initially headwinds to improving operating margins. Moving beyond 2024, our focus is on continuing to capture volume with new and existing customers particularly as we go through our first bid cycle with the expanded network. Our relative pricing position allows us to pursue incremental volume with less risk of diluting our yield. Our approach here will not be unlike our approach in truckload, where a cohesive network strategy, disciplined team, and intentional capacity deployment to support better market density, operational efficiency, and service quality. Progress in this strategy should allow us to unlock new levels of operating performance and margin in the long run. We remain encouraged by the growth and opportunities for our LTL segment and we continue to look for both organic and inorganic plans to geographically expand our footprint within the LTL market, filling out our super-regional network in the short-term and ultimately creating a national network will allow us to participate in more freight and enable us to find opportunities to further support our existing truckload customers with LTL capacity. Now, let's move to logistics on Slide 8. The logistics market continued to deal with the soft truckload environment as most public spot rate indicators faded throughout the quarter. Our disciplined approach to pricing has allowed our business to maintain profitability with our adjusted operating ratio of 94.5%, improving 100 basis points over the second quarter. We also increased revenue per load 3.7% over the second quarter. Gross margin percent was stable, both sequentially and year-over-year. As discussed last quarter, the logistics market is further challenged by a number of shippers allocating more of their business to asset-based providers. Also, we continue to divert a portion of our logistics volumes to support our asset business in certain markets. However, this headwind should flip to a tailwind when the market turns as the asset division will overflow freight to the logistics business, particularly for our power only service. This relationship with our asset division can create more volatility through a cycle or through our logistics business, but it means there is a significant amount of runway ahead of it at this point in the cycle. Revenue decreased 9.50% year-over-year as we lap the acquisition of the U.S. Xpress at the beginning of the quarter. Load count was down 21.1% year-over-year, but was partially offset by a 13.6% increase in revenue per load. We continue to leverage our power-only capabilities to complement our asset business, build a broader and more diversified freight portfolio and to enhance the returns on our capital. Now, I'll turn it over to Andrew on Slide 9.
Andrew Hess: Thanks, Adam. In our intermodal business, revenue increased 1.4% year-over-year. This is the first year-over-year revenue increase in six quarters. It was driven by a 7.2% increase in load count. The improvement in volume and progress in operating costs overcame a 5.3% decrease in revenue per load to improve the operating ratio by 310 basis points year-over-year. With recent hurricanes negatively impacting volumes early in the fourth quarter, we no longer expect intermodal load count to be sequentially stable with the third quarter. This will also likely cause the business to be essentially breakeven in the fourth quarter, whereas we had previously projected to be slightly profitable. We remain focused on executing our strategy of diversifying our business mix, building density, reducing empty moves and reducing costs. We expect ongoing progress in these areas should make this business profitable in 2025. Now on to Slide 10. Slide 10 illustrates our all other segments. This category includes support services provided to our customers, independent contractors and third-party carriers such as equipment, sales and rental, equipment leasing, warehousing activities, insurance and maintenance. For the quarter, revenue declined 42.8% year-over-year, largely as a result of winding down our third-party insurance business in the first quarter. The $6.2 million operating income within the all other segment represents modest sequential improvement over the second quarter and was primarily driven by the warehousing and equipment leasing businesses. On slide 11, we've outlined our guidance and key assumptions, which are also stated in the earnings release. As noted in previous quarters, we are not incorporating an inflection in market conditions for the purpose of forecasts, but are rather basing these ranges on expected seasonality and the continuation of existing market conditions, similar to what we have felt in the third quarter and into October thus far. Actual results may differ from our expectations. Based on these assumptions, we expect our adjusted EPS for the fourth quarter of 2024 will be in the range of $0.32 to $0.36 and our adjusted EPS for the first quarter of 2025 will be in the range of $0.29 to $0.33. The key assumptions underpinning this guidance are listed on the slide, so I won't cover them. In summary, we project truckload operating income to improve sequentially into the fourth quarter. We also expect a normal seasonal step down in LTL earnings and activities within our all other segments in the fourth quarter, which will largely offset the projected ramp-up in truckload profits. Our first quarter range reflects the normal seasonal slowdown in our truckload and logistics segments, but this should partially offset by seasonal improvement in our LTL segment and the all other segments. While we cannot drive the timing of an improvement in market conditions, we are focused on leveraging the scale and service of our unique suite of brands to solve complex problems and create distinctive value for our customers, growing into our expanding LTL network and improving efficiency, service and margins and fully capturing the synergies at U.S. Xpress, recognizing the outsized margin improvement opportunity as market conditions recover. This concludes our prepared remarks. And before I turn it over for questions, I want to remind everyone to keep it to one question per participant. Thank you. Chloe, we will now open the line for questions.
Operator: Certainly. [Operator Instructions] And we'll take our first question from Jonathan Chappell with Evercore ISI. Your line is open.
Jonathan Chappell: Thank you. Good afternoon. Adam or Brad, Adam, you mentioned in your comments and in the release as well that spot is doing better than contract. As it relates to your portfolio of business with MTL, can you give us a sense for where you stand now on spot or more short-term business relative to maybe a year ago and long-term averages? Just so you can help us frame your flexibility and leverage for when the entire market starts to inflect.
Adam Miller: Yes. Sure, Jon. I appreciate that. We're still in that range of just low double digits for spot versus our contract business. And in stronger markets, we've been able to flex that as high as 20%, 25%. So, we still have a good way to go in terms of being able to be nimble in this market. And as we mentioned in the release, we've seen some seasonality that has carried over from Q3 and maybe some of that was delayed in Q3 because of the disruption from the hurricanes. But we are seeing a handful of shippers that have acute needs that they need to secure additional capacity above and beyond what they can secure in their routing guide. And we're seeing a lot of those opportunities in our larger brands, particularly Swift and then we're seeing some of that flow into maybe a U.S. Xpress and then a little bit more into night, but still not something that is as robust as we've seen in Swift. So, that tells us that the inflection there isn't really a broad-based inflection, but that some of the shippers as they have real needs are going to go to the larger asset-based players that are going to have the flexibility and the nimbleness and the equipment to accommodate those needs and to provide value for them. And it also means that the small carriers out there are still probably in a difficult environment where we'll still expect to see some attrition, which I think we still need to get back to where we feel like the market is in balance. So, we still have plenty of opportunity to flex if the market is there. And I think we have opportunity to provide even more capacity from our other brands that maybe aren't seeing the same spot operates as we are on the Swift business.
Brad Stewart: I think, Jon, I would just add to that, in terms of our existing capacity for spot exposure for flexibility, if you look at our miles per seated truck, there's still a lot of room for improvement on seated truck basis. And so they're slack in the system, should there be opportunities, we could create more capacity, if you will, to capture those and create more spot exposure without having to lose any contractual business.
Jonathan Chappell: Got it. Thanks, Brad. Thanks, Adam.
Operator: We'll move next to Tom Wadewitz with UBS. Your line is open.
Tom Wadewitz: Yes. Good afternoon. Wanted to just ask Adam about your best view on how this cycle might play next year. It seems like there's a fair bit of disruption in the market with a couple of hurricanes and shortline port strike and just a lot of noise strength of the -- into the West Coast with container imports as well. But at the same time, it's not clear whether you get enough strength to really get tightness and maybe a better rate increase next year. So, I don't know if you think it's kind of a gradual cycle turn or if you're more optimistic than that at this point. But I know it's crystal ball is probably not hard to have clear one of these days, but any thoughts on how we might go into next year on the cycle as kind of the base case.
Adam Miller: Yes. So, Tom, I think everyone has predicting three months for about 12 months now. So, it's really hard to tell where that's going to land. But I do think that the worst is behind us. And I feel like in the -- as the bids start to pick up here that we'd expect to see low to mid-single-digit improvements and then see that build throughout the year. I don't expect there to be a real sharp inflection. I think it's somewhat of a grind upwards. But that's probably okay because some of those sharp inflections create almost a gold rush from the -- for the small carriers because you see the spot rates really jump dramatically. And I think that may keep more capacity in the market. So, I think as you have a progressively better market that's building over time, I think the larger well-capitalized asset players that are the stronger performers typically see an outsized amount of opportunities there versus brokers or small carriers. And so that's how I see it playing out now. It's just kind of a slow progression to the positive. And I think rates could end up in the late part of the bid season up high single digits perhaps. There's still a long ways to go on margin recapture to make the public companies closer to where they've been historically and ourselves included in that. So, we've got a ways to go, and we plan to get there with Ray, probably productivity and continue to focus on our cost structure to put us in a better position to again improve margins, but also bring value to our customers.
Andrew Hess: I'll just add, we got the bid season largely in front of us here. So, we don't have a lot of signals. But what we are seeing is capturing positive rate. And often, that escalates from early bid season as it progresses. So a year ago, we were spending trying to hold rate that that's no longer the case. Generally, we're capturing rate. But there's a lot of signals we got to still understand as we go through this. But certainly, we think the rate environment is going to be a lift to us as we work to 2025.
Adam Miller: And I think, Tom, I think what's maybe the most telling is how does the market feel once you get past Thanksgiving and because I think we're going to be busy up to that point. And then once you get past there, do you still see strength in December? Or does it weaken? And I think that can really set the tone for where rates will inflect.
Tom Wadewitz: Okay, great. That’s helpful. Thank you.
Adam Miller: Thanks Tom.
Operator: We'll move to Daniel Imbro with Stephens, Inc. Your line is open.
Daniel Imbro: Thanks. Thanks for taking our questions. Maybe want to follow up related to that last question. So, I think you sound like you're still expecting sequential pricing improvement kind of to accelerate 3Q to 4Q into next year. Curious on the expense side, we have insurance cost up, equipment cost up, maybe driver wages. We'd love your thoughts there. But are the rate increases today or the cadence you just laid out enough to cover cost inflation next year to where we actually get margin improvement and OR improvement through 2025? Or just any thoughts on the underlying expense growth there great.
Adam Miller: Yes. So, I think we feel like we still have some opportunity on the cost side in our business. The insurance expense has been, I think, a challenge for everyone in our space, given how the environment on litigation has developed. But we believe we have some opportunity to keep that expense stable or make some progress in that area just given some of the initiatives that we have around safety and managing claims. I think there's still some opportunity to right-size our fleet. And I think today, we have a higher trade ratio than we would like. And so we're still in the process of becoming more efficient from an equipment standpoint and to improve the utilization of our equipment. When we take a driver pay, typically, we would share 25% to 30% of our rate increase with our drivers. And so when we start to feel like there's a consistent trend of rates improving and we see a pathway for that to continue, then maybe that's something we would look at, but it's really going to depend on where we see the market come up. From a recruiting and retention standpoint, Daniel, I think 2025, we're going to have to, as an industry, convert any rate improvement into margin improvement. I think our focus will be keep inflation to a minimum, if anything, continue to improve on a cost per mile basis while you're getting margin -- while you're getting yield to slow down the margin. I also believe that improving our utilization will also help with our cost per mile. But I think of the market, it typically starts with additional load count and then start to get spot rate and then you start to get contract rates. So, we're seeing that already in the fourth quarter. Again, it's early and it may be short-lived. We don't know yet. But as you get low count, you get more miles, you cover your fixed costs more effectively and then you start to get rates to help drop to the bottom-line. So, really on an inflation standpoint, we have to hold steady or if not improve for next year.
Andrew Hess: I would just add that, through the last few years, one of the -- I guess, maybe the most liked elements of the cycle is rate decreasing in cost in kind of a hyperinflationary environment. We see something different today. We're seeing more normalized cost inflation as kind of -- we're seeing across the general economy, but we've been hard at work on reducing our fixed costs and it's starting -- I think that's going to give us a lift, as we go into next year. If you look at our legacy businesses, we improved sequentially. We said 250 basis points from Q2 on our OR. Our cost per mile essentially drove that entirely, right? Because we were basically flat on rate, flat on miles. So, we've been hard at work on cost, intelligently in ways that don't impair our ability to capture market opportunities, but ways in which we think are going to benefit us as we see market improvement.
Daniel Imbro: Appreciate all the color. Thanks guys.
Operator: We'll move to Ravi Shanker with Morgan Stanley. Your line is open.
Ravi Shanker: Great. Thanks, good afternoon, guys. I wanted to follow-up on the comments on the shift of customers to an asset-based and away from brokers that you noticed a sign like a positive sign for the cycle, how is this compared to a similar trend at this point in previous cycles? And also, if you are seeing a shift more towards asset-based carriers, what does this mean for potentially rates into the up cycle? Like in the past, people were pointed their finger to brokers and said, hey, the rates are too low in downturns and too high upturns because of brokers. Does that mean like we'll see kind of less volatility on rates going forward because of the shift?
Adam W. Miller: Yes. I think, Ravi, we've seen these shifts in the past. You've seen them shift towards brokers when the market rates are really cheap and brokers can get saw carriers to do things at lower rates than the larger asset players. And then when some of our customers feel less comfortable with the brokers and what that could mean to their to their supply chain or their available capacity in the market when they think it's going to turn, start to shift towards the asset-based carriers. I think all of that's playing out like normal cycles typically would. I think one difference is we're starting to hear a lot more comments around cargo security. I think there's been a rush of cargo steps across the industry. I think the proliferation of power only, hey, we have power only. We do it in a certain way that we feel like it makes it very secure. But it's not unusual to see a smaller carrier hauling a larger carrier's trailer, because it happens all the time. We used to be concerned about that when we'd see a small carry hall in a Swift or an eye care, we'd probably call it into safety. Now, it's a common practice. And you could do it really well and effectively. But there are some bad actors out there who have leveraged that and have found a way to steel load, especially when we've tried to make it very easy to interact and engage with these small carriers and shippers. And so I think there's been a several of our customers who come to us and have asked for opportunities to leverage our equipment because, hey, saving a couple of hundred dollars on a shipment over a period of time gets washed out really quickly when you start having full load stalling. And when I think of our business and what we do from a security standpoint, between all of our brands, we may haul 4 million loads a year, and I can count on one hand how many times we have full trailer stolen. I mean, we have a very robust security department. It's one of the more impressive things we have customers visit our operations that they get to see the team that's watching all the high-value loads and the locations where you shouldn't drop trailers and we're tracking those very closely. Very few have that type of security. So, that has become a bigger point of contention with some of our customers. And I've gone to different conferences here over the last few months. And cargo stat is now a prevailing topic when really wasn't discussed that much in the past. So, that's one thing that I believe is new. But I think our shippers, they shift back and forth between broker and asset-based customers on a regular basis. I don't see that changing outside of the concern around cargo theft.
Ravi Shanker: Very helpful. Thank you.
Operator: We'll move next to Scott Group with Wolfe Research. Your line is open.
Scott Group: Hey. Thanks. Good afternoon. So, any thoughts on why Swift is seeing the pickup in spot and not the other businesses? Is it just that they're bigger? Are the rates lower? I don't know -- any idea on why that? And then, Adam, I just want to make sure I'm understanding your point about the margin improvement, right? So, if you think back historically, like whatever price you get, typically, margins improve a little less, right, because you're giving some back on drivers usually utilization, you get some a little bit back because the market gets tight. It sounds like your view is that whatever you get in price, you'll get at least that margin and maybe more. Am I understanding that, right?
Adam Miller: Yes. I mean, that's the goal, Scott, is because of just how much inflation that we've felt over the last several years, we just have a lot to get back there. And it will come from, again, managing safety, more effectively, improving our turnover, like doing the tough basic things and trucking to grind through that. But also, when you get more utilization on your equipment that really does help. And if you have an improving market, you'll get utilization and then you'll get rate. And so that will help offset any kind of typical inflation you'd have on a year-to-year basis. So, it may not be perfect that way, Scott, but that's going to -- that's our objective here for 2025 is to keep cost per mile flat or even better. And then any rate improvement be able to flow that to margins. And then on your Swift question, Scott, Swift is just -- it's the largest brand we have and has the most equipment, the most trailers. And so when -- especially certain customers that ship heavier in the fourth quarter, they're used to being able to call Swift and for Swift to be able to solve big challenges. And so instead of calling three or four or five carriers to pull together the capacity they need, they may be able to call just Swift and have them figure that out. And so that's why we really identified this having multiple brands now how those calls and how that -- those bids start to flow. And so what we're doing is finding where we can win with Swift with these customers, but then take the opportunities that we can't do it with and leverage it, leverage U.S. Xpress leverage bar none I believe to find additional capacity to solve problems for the customers. So, it feels like they come into one entity, but we're giving them access to multiple brands. And you do it the way sometimes it's going direct with each brand. Sometimes it could just flow through one if it's a project. And so it really depends on the customer. But a lot of those opportunities are starting to swift because of the sheer size and the capabilities that, that's what has to solve problems.
Scott Group: Thank you guys.
Operator: We'll move next to Ken Hoexter with Bank of America. Your line is open.
Ken Hoexter: Hey. Good afternoon, Adam and team. So, you brought a lot of lesser truckload facilities online in the quarter. I think it was almost double what you had done year-to-date. So, how do you see the margin progression as we move forward? And then it looks like you're targeting -- well, I'll leave it at that. Maybe the state of the market, your thoughts on pricing kind of in that -- within the market as a whole.
Adam W. Miller: Maybe I'll give a thought on just the market, and then maybe I'll let Andrew touch on the margin profile and how we see that progressing. I think we're still seeing good opportunities as we expand the network with these terminals. And hey, it's been aggressive. We acknowledge that, and there's been some headwinds on margins because of it, but we look at 2024 as the year where we invest in the network. And in 2025 is the year that, hey, we grow into it. And we grow into it with top line growth and improvement in margins. And we're really excited about the addition of DHE. California market was really important and as well as Nevada and Arizona. We had a lot of truckload customers that we have very close relationships with that are very large shippers that like dealing with national players. And so some of them were a little reluctant to leverage the AAA and NME network until we had California. That was a big piece for them. And so as soon as we announced the H, we had several customers reach out and say, hey, when can we start? And we said, well, let's let it get our networks connected in. So, you have one system, one pro number, so it feels like one network to them. And we expect to have that done probably in the next seven to 10 days. And so there is a host of customers that have shipment volume that they want to flow to us, that would be a significant increase to what DHE is accustomed to hauling. But now that they're tied in to a broader network, we think there's some real opportunity there. And then as we mentioned on the call or on the prepared remarks, we feel like where our pricing is. We still have some room to improve to kind of close the gap from the larger players that are out there that operate at a better margins than us currently. And so we don't feel like we need to pressure pricing to grow into the terminal network that we've grown. And so we're kind of excited about getting to 2025 and really growing into what we've built out. And then obviously, we look towards the Northeast and find an opportunity to grow organically or inorganically in that market to start to round out the nationwide network. And Andrew, maybe you want to touch on how we see that progressing from a margin standpoint as we grow into those facilities.
Andrew Hess: Yes. I'd say -- and just think about it this way, Q3 and Q4 sort of kind of the low point in terms of the upside down map on cost versus revenue. So we've -- our heaviest investments have occurred this quarter. And so from this point, we're going to add additional facilities, but largely the big investment in our organic growth is behind us, and we're going to start filling out that. And we usually started with 3PL revenue. Once we get into the bid cycles, we're going to be converting that to a higher-value freight that's going to help overall. But we have sort of an idiosyncratic path here that maybe is going to look a little different than some of our peers. You saw that our revenue ex fuel per hundred weight was up 9.2%. We're -- we believe that we'll be able to see strong rate capture as we go into Q4 and in Q1 because of the way that our network is sort of being restructured. Our length of haul is growing, and we're capturing longer length of haul as we were able to deliver to new regions. So, I expect kind of just to your question on margin, I expect that cost pressure is going to continue for a few quarters. But by early 2025, we're going to probably turn the corner as we get more into bid cycles, rates were favorable and we start getting better at our efficiencies and our pickup delivery and our dock labor and making sure our line haul utilization is where it needs to be. So, I think we're somewhere around the low point in terms of the upside down math that was an investment that we expect 2025 is going to pay off.
Adam W. Miller: And Ken, really our goal there is we've kind of built -- we've grown pretty dramatically this year is to just keep marching down a path where we're improving a couple of hundred basis points in OR every year as we grow into our network and just -- we just need to start marching down a path to where we're competing with the best public companies out there.
Ken Hoexter: Wonderful. So, just to clarify then, when you -- in your guidance assumptions, the high 80s, you're talking about kind of exactly your target here, your fourth quarter, first quarter and then start to see improvement from there? Or it depends on--?
Adam W. Miller: Yes. Yes, we'd expect to see some improvement in the second quarter of 2025.
Ken Hoexter: All right. Thanks Adam. Thanks Andrew.
Operator: We'll move next to Chris Wetherbee with Wells Fargo. Your line is open.
Chris Wetherbee: Hey, thanks, good afternoon guys. I was curious how the progress at U.S. Xpress is going, I guess, I think margins were flattish in the quarter sequentially. But can you talk a little bit about how that integration has gone, sort of there's a bit of a rehabilitation of the book of business and the customer portfolio, the rates? Just going to get a sense of maybe how that's going and maybe any thoughts if it's different at all in terms of the longer term outlook for it? And do you need a different or better freight environment to really start to pull the value out of that deal?
Adam W. Miller: Yes, that's a good question, Chris. And it's certainly been more challenging than we originally anticipated, and that's really more of a function of having a prolonged difficult freight market, freight market we've had to deal with. There's really two sides of synergies that we have to capture, right? You have the cost side and then you have the revenue side. We've done, I think, a really good job on capturing cost synergies. We have closed the gap substantially on the cost per mile of U.S. Xpress versus the cost per mile on our legacy Swift and Knight businesses. Now there's still more improvement that's needed. And these are in areas that take time to show that improvement is kind of cultural shifts. And that would be in the safety side of the business. So, that's kind of ensuring that we're coaching, we're bringing in the right drivers that we have the right culture around safety versus productivity and really just having good relationships with our drivers. And so we've had to build out a terminal network, which didn't exist before. We did that very rapidly over less than a year period. And then we've got to improve driver retention. And that also is a function of having those relationships, a terminal network and having the right people with the right mindset. So I feel like that's been established, but it takes some time to see that flow through the business. But we're very comfortable with the progress we've made on the cost side of the business. Now, there's also some, I'd say, equipment long-term leases that you purchase with the business that we have to work through, and those can take time as we replace them with better financial terms on the equipment that we have. So, still levers the pool on the cost side, but feel good about the progress there. The real challenge is the over-the-road business and the gap between the U.S Xpress rate per mile and how we perform at Knight and Swift. And there's still a lot of room there that has to be worked through. And it's in a market that we've been managing through. It's been a challenge to do so. So, we've been working on developing a network that runs between the terminal networks that we've worked on and sometimes that can create a shorter length of haul, but better rate per mile and really ultimately you're trying to achieve a certain revenue per tractor. But that's fully in progress. But I think when you have some wind at our back from a market standpoint, we will close that gap much more rapidly on the revenue side. I think that's when you'll start to see the margin expansion that we probably originally forecasted when we purchased US. Xpress. They've also felt some pressure on dedicated. They actually have a good dedicated business. They felt pressure there, just like every other large carrier has when over the road is really cheap, dedicated feels pressure. And so we felt that at Swift, I know that others in the public space have mentioned that. But U.S. has a really good logistics business. They've performed really well. They have performed similar to where we have at Knight and Swift, and that's a good complement to what they do on the asset side. So, the big challenge is rate in the over-the-road business and certainly better market conditions will help us close that gap faster.
Chris Wetherbee: Got it. That’s helpful color. Appreciate. Thank you.
Operator: We'll move next to Brian Ossenbeck with JPMorgan. Your line is open.
Brian Ossenbeck: Hey, good afternoon, guys. Thanks for taking the question. Maybe just a quick follow-up on, I guess, the broader topic of fleet utilization. It sounds like there's a little bit of puts and takes between legacy and U.S. X and maybe some normal seasonal decline into the first quarter in terms of the tractor count. But Adam, how are you thinking about tractor count utilization in general across the different brands and there's still some areas you need to maybe bring down a little bit? So, I think you did a little proactively earlier in the year? And then maybe, Andrew, can you just talk more about the impact -- the financial impact of the hurricanes? Because it sounded like it was pretty broad-based impacting intermodal and truckload and probably LTL as well. So, is that something you expect to recoup next quarter? Or is that sort of an impact that we should be thinking about here in 3Q? Thank you.
Adam Miller: All right. We'll start with your three-pronged question here, Brian. So on the tractor count, I mentioned earlier that there's been some pressure on the dedicated front, and we felt some of that the US. Xpress business. So there's probably some tractor count that we need to bleed out of the network to offset some of the carrying costs that they've had. And we've started that already in the fourth quarter. And so that's why you'll see a slight decline from Q3 to Q4 and then Q4 into Q1 on like an average tractor count number. We'd expect it to be pretty stable after we get through that adjustment, and that's just probably a few hundred tractors that we need to work through to help kind of reduce the -- some of the cost per that U.S. Xpress is carrying on that. When I think of the utilization, having the open truck certainly hurt on the U.S. Xpress side, but also -- again, we talked about realigning their network. And I think what we've done is we've replaced maybe some longer length of haul freight that were at rates that were incredibly low with some shorter length of haul regional freight that fits within the networks where our drivers live and want to come in and out of. And so less miles per tractor, but rates have improved as a result of that. So, if you're just strictly looking at miles per tractor, it would show that we've given up some as a result of this shift. But we did something similar to this when we merged with Swift, when we adjusted their network because really our focus is on having the best revenue per truck per day, but also a network that supports driver retention and drivers coming in and out of networks that they're comfortable in. And so sometimes the numbers can look a little funky when you're working through that. I know you asked questions about hurricanes. Andrew can touch on some of that now if you want to, Andrew.
Andrew Hess: Yes. Hey Brian, I think the hurricane did have some impact on us in Q3 in that final period and that carried over into the early part of October. I would say this, I would say our U.S. Xpress business and our AAA Cooper businesses were in that region almost exclusively or heavily. So, they were maybe disproportionately impacted. So, there is some permanent probably impact on our LTL business. Intermodal seems to have had a slow start here in Q4, but we think it's largely behind us at this point. So, from our perspective, and truckload had some impact on U.S. Xpress, but it really probably overall didn't impact our truckload business in a global way. But I would say what's the kind of permanent impact of it. It's probably some impact on LTL and our intermodal business for Q4.
Adam Miller: Yes, but it may be a net positive when you compare the impact on -- from Q3 to maybe some opportunity you pick up in Q4 for the truckload business. Maybe not so much on LTL, you don't have the same type of rebound, but on the truckload side, Brian, we may see that being a net positive.
Andrew Hess: Yes. And Brian, what I would add is, while it's difficult for us to really quantify in financial terms, what that's done to our business through hurting volumes. I can see that the impact of the hurricanes likely would have brought our Q4 guidance down. We held flat with where we started with that from a quarter ago. It would have come down if not for the opportunities we're starting to see percolate on the truckload side here in the fourth quarter.
Brian Ossenbeck: Okay. Very helpful. Thanks very much.
Operator: We'll move next to Eric Morgan with Barclays. Your line is open.
Eric Morgan: Hey, good evening. Thanks for taking the question. I wanted to come back to LTL, just the discussion on pricing and length of haul. Do you have a good handle on the runway for where length of haul can go just as the network sits today, as more customers take advantage of the reach you have now? And if you can keep up the pace of improvement you've seen, should that naturally come with a sustained yield more in like the mid to high single-digits over the next couple of years maybe or is that not a great way to think about it? Thanks.
Adam Miller: I mean we would expect the length of haul to improve as we grow density and we expand our reach. We don't know exactly where that number may settle out, right? I mean obviously the early bid season will give us some indication of that, but we really won't see that until, obviously, we connect in the DHE network and we start to see some of those shipments flow. We do believe that longer length of haul freight, some of the heavier freight does yield a better margin. And it is the reason -- and there's maybe one component as to why some of the larger fleets have a better margin than the regional fleets. We just don't know exactly where that will land until we kind of start working through the sales process and the RFPs. But certainly, that's our expectation.
Andrew Hess: I mean, we think California was a game changer for us. As we talk to customers that participate in long length of haul freight, we were not even a viable option for them until we have California. And so as we've now approached those customers and talked about DHE and our network and just so for clarity, we expect that to happen in November. We've been, I guess, surprised on in a good way the response in terms of the desire for us to participate in bids. We've seen sort of all-time highs on shipment count in that business, and we have a lot of demand, I think, we can capture. So, I think California, not every location, not every service center is the same. California for us had, in our view, outside strategic importance that has an outsized impact on our ability to capture opportunities with our customers. So, we're -- we feel like that is a very important part of what's going to give us some tailwind right now.
Eric Morgan: Great. Appreciate it.
Operator: We'll move next to Bascome Majors with Susquehanna. Your line is open.
Bascome Majors: Thanks for giving us an early look at the start of next year from your own budgeting if you don't have meaningful recovery and just simple seasonality there. If I look historically, in years where there's been meaningful sequential strengthening in the truckload market, the first quarter has been as low as mid-teens percent of the full year. And conversely, years where you've had sequential deterioration, it's been as high as, call it, mid-20s percent. I know there's no incentive to guide the full year at this point with all the uncertainty on rate. But is that seasonality book in a good starting point for us to think about a range of outcomes? Is there something different about this cycle in this year that could make that historic look back, just unreasonable today? Thank you.
Adam W. Miller: Yes, I think it's really difficult to apply in a historic look back to our business today. I mean if you look at our consolidated business, we're just comprised so much differently than we were four or five years ago. You now have, obviously, the LTL component. We're larger now as we are still digesting the U.S. Xpress business. And we've got -- there are all other segments where we have some leasing and warehousing that performs different to normal trucking seasonality. So, it has changed the way our earnings progress from quarter-to-quarter. I think what we'd expect, Bascome, is probably the same type of kind of seasonal adjustment of volume from Q4 to Q1. But we do feel like the bids will be playing out in our favor, like we mentioned earlier. And sometimes, in trucking, you feel better than you look and sometimes you look better than you feel. And I believe, 2025, the first half, we're probably going to feel a little bit better about where we are as a company than we look on the financials, but it will come in the back half of the year, if these rates begin to play out and we can control cost and we can grow into our LTL facilities and continue to make progress with the U.S. Xpress business. And so it's -- we didn't give guidance for the full year, so I don't want to insinuate anything. We've given our guidance for Q4 and Q1. But trying to apply previous cycles to this company today is a bit challenging, and I don't know that would be directionally correct.
Brad Stewart: Yes, and Bascome, what I would add -- this is Brad. What I would add is in the last, I’m calling, going on three years now, the truckload market has been so subdued, right? And so that has also dampened the volatility you've seen in the seasonal earnings throughout the year. Whenever we get into a more normalized and tighter and stronger truckload market, that's going to argue for broader amplitude or seasonality being expressed as a truckload core kind of carries that.
Bascome Majors: Thank you, both.
Adam Miller: Yes. All right. And so, I think that concludes now our presentation. I know there's probably a few of you that we won’t able to get to your question. And if you like, you can call 602-606-6349. But we appreciate the interest. I appreciate everyone jumping on and hey, we'll talk to you next quarter.
Operator: This does conclude today's program. Thank you for your participation. You may disconnect at any time, and have a wonderful evening.